Operator: Greetings, and welcome to the Lovesac Second Quarter Fiscal 2019 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 It is now my pleasure to introduce your host, Rachel Schacter of ICR. Thank you. You may begin. 
Rachel Schacter: Thank you. Good morning, everyone. With me on the call is Shawn Nelson, Chief Executive Officer; Jack Krause, President and Chief Operating Officer; and Donna Dellomo, Chief Financial Officer.
 Before we get started, I would like to remind you that some of the 
 [Audio Gap] 
 discussed will include forward-looking statements regarding future events and our future financial performance. These include statements about our future expectations, financial predictions and our plans and prospects. Actual results may differ materially from those set forth in such statements. 
 For a discussion of these risks and uncertainties, you should review the company's filings with the SEC, which includes today's press release. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of today, and we undertake no obligation to update them, except as required by applicable law. 
 Our discussion today will include non-GAAP financial measures, including EBITDA and adjusted EBITDA. These non-GAAP financial measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of the most directly comparable GAAP financial measure to this non-GAAP financial measure has been provided as supplemental financial information in our press release.
 Now I'd like to turn the call over to Shawn Nelson, Chief Executive Officer of the Lovesac Company. 
Shawn Nelson: Thank you, Rachel. Good morning, everyone, and thanks for joining us on our first conference call as a public company. It's an exciting time at Lovesac and as we continue to build the brand, grow our showrooms, digital presence, drive profitability and start to realize a significant potential we believe exists for this business. 
 I will begin today's call by discussing the highlights of our second-quarter  results, after which I'll spend a few moments elaborating on what differentiates Lovesac; and Jack Krause, our President and COO will outline our key growth initiatives; and we'll turn it over to Donna Dellomo, our CFO, to review our financial results and a few items related to our outlook in more detail.
 We're very pleased with our second-quarter  financial performance. Net sales in the second quarter of this year we call fiscal 2019 increased 60.3% to $33.2 million from $20.7 million in the second quarter of fiscal 2018, which was last year. Comparable sales, which includes showroom and Internet sales, increased by 41%, driven by a strong showroom comp increase of 34.2% and growth of our Internet business of 71.3%.
 Our second-quarter  fiscal 2019 comparable sales were driven by transaction and ticket growth as we continue to attract both new and existing customers alike to Lovesac through our marketing strategies, e-commerce platform and showroom presence.
 We opened 5 and remodeled 2 showrooms in the second quarter, and as of the end of the second quarter, operated a total of 72 Lovesac showrooms across the country, representing an increase of 16.1% versus the prior-year  period. 
 Our first off-mall location, which is also our first New York City showroom in the Flatiron neighborhood, soft-opened to great customer reception in Q2, and we look forward to the full grand opening of the showroom next week. Our experience with showrooms continue to be very productive for us, inclusive of marketing costs. 
 We are also leveraging the strong foot traffic at Costco with these 10-day pop-up shops at 133 Costco locations operated during the second quarter alone, up from 27 locations in the prior-year  period. These shop-in-shops  provide us the opportunity to expand our brand reach to areas and customers that our showrooms don't necessarily cover, and we are very pleased with the results. Jack will discuss our strategy around showrooms and shop-in-shops  further in a few moments. 
 Adjusted EBITDA was a loss of $1.9 million for the second quarter compared to a loss of $1.6 million in the prior-year  period. Donna Dellomo, our CFO, will review our financials in more detail. 
 Lovesac has an attractive financial profile, especially considering our high growth rate, and we have delivered strong results over the last few years. In fiscal 2018, last year, top line grew just over 33% with the top-line  momentum continuing in the first half of this year, fiscal '19, where we delivered 56% top-line  growth and a nearly 35% total comparable sales increase. 
 Notably, adjusted EBITDA turned positive last year in fiscal year 2018. We are confident that we will continue to achieve high growth rates on total company net sales with expansion in EBITDA on an annual basis. 
 Our results in the second quarter and our performance to-date speak to the strength of our differentiated product and disruptive direct-to-consumer business model. We believe we are well positioned in an attractive industry where there is still room for real disruption. Our patent-protected, modular Sactionals and premium Sacs are Designed for Life, which means that our products are built to last a lifetime and designed to evolve with the customer in each phase of life, given the ease of adding new pieces and customizing the shape and aesthetics of their Sactionals. The cover for our -- the covers for our products are durable, washable and easily changeable given our expansive offering in a variety of fabrics and colors. We believe our products are very appealing to customers since they are easily shippable and delivered free right to their door within days, given our always-in-stock inventory as a result of our uniquely limited SKU counts required to service such a large selection. 
 We have also recently expanded into new design accessories, including fitted tables and drink holders, amongst others, and we have just announced our first foray into embedded technology with a modular-powered charging accessory, which gives our customer the opportunity to add new functionality to their existing Sactional and new customers to adopt it as well while keeping them on the platform and within our customer fold.  
 We're establishing a cadence of new product introductions that will make our core platforms more appealing to new customers and add more utility and stickiness to those already on the platforms. 
 We are environmentally conscious at Lovesac, and we are also pleased to report that we have already repurposed at least 4,200,000 plastic water bottles from the waste stream into the upholstery fabric of our Sactionals couches, which upholstery is now made from 100% recycled materials. We believe that we have diverted more than 46,000 couches from the landfill just year-to-date by selling consumers our Designed for Life Sactionals instead of traditional ones. 
 Another very important distinguishing attribute of Lovesac is the connection and loyalty we have with our customers. While our target customer is the millennial generation, Lovesac has a broad demographic appeal, and our passionate customer base is comprised of all ages. We connect with our customers in various ways, including traditional marketing and through our strong digital presence, which has an attractive and growing community of passionate followers on Facebook and Instagram, in addition to driving strong customer acquisition. 
 We see significant opportunity to continue to drive share gains within the growing total addressable market of the couches, chairs and seating segment of the overall furniture category, which represents nearly 31 billion in sales. Our unique, innovative and disruptive direct-to-consumer business model positions us well to capitalize on this substantial marketing opportunity and grow our current market share, which, by the way, currently is very small.
 As we focus on driving share gains, we will remain flexible and continue to utilize our proven digital marketing strategies to continue to acquire new customers. 
 As disclosed in our prospectus, as what -- as of the end of fiscal year 2018, our customer lifetime value, or CLV, of roughly $1,200 far exceeded our customer acquisition cost, or CAC, of $283, and resulted in what we believe is a very attractive and reliable CLV-to-CAC ratio of approximately 4.4x.
 Looking ahead, we are focused on leveraging our distinct competitive advantages to realize a significant growth potential that exists for Lovesac. Jack will now discuss our key growth priorities which are: expanding TV, direct mail and digital marketing; two, continuing to update existing showroom formats; three, opening more showrooms; four, extending brand reach with shop-in-shop  business; five, continuing social media engagement with our customers. 
 Before I turn the call over to Jack, I want to take this opportunity to thank everyone on this call and everyone who contributed to our very successful public offering, initial public offering, in June. We are happy to have you in our #LovesacFamily. We also want to thank our passionate team members. It is the dedication of our talented team of people here and the disciplined execution of our strategy that has resulted in our success to date and will drive our success going forward.
 We have an open runway of growth ahead of us, and we are focused on delivering against the many opportunities to grow our brands as we continue to deliver sustainable top- and bottom-line  growth. 
 I will now turn the call over to Jack, our President and COO, to go over our key priorities in more detail. 
Albert Krause: Thanks, Shawn, and good morning, everyone. I'd like to review the key growth priorities that Shawn just mentioned. Starting with the first pillar of our growth strategy, expanding our digital TV and direct mail marketing. As Shawn mentioned, the 2 key metrics we use to assess the effectiveness of our marketing strategies are: one, customer acquisition cost, which measures our marketing expenses versus the number of customers we acquired in that period and inclusive of premium, we actually pay for our showrooms; and two, the customer lifetime value, which is a fixed estimate of the average gross profit we expect to receive from a customer during his or her purchasing lifetime, which is currently measured at 3 years. Given that in fiscal 2018, the customer lifetime value of nearly 1,236 well exceeded our customer acquisition cost of approximately $283, we see significant opportunity to increase our marketing to drive revenue growth. 
 Digital marketing has been a key to our marketing strategy and provides us numerous ways to engage our customers through content and also creates brand awareness. 
 Television and direct mail have also been very powerful and synergizes our digital strategy. Recently, we have seen success from digital, direct marketing to potential customers and geographies without showrooms to get them engaged with our brand by providing an offer for a starter kit, which includes a Sactionals seat inside. 
 Historically, we haven't invested very much in marketing. However, we are stepping up that investment this year given the very encouraging returns we are seeing. We have some exciting programs in the pipeline as we lean into additional marketing in Q3, including the Labor Day campaign that we just ran.
 The second element of our growth strategy is updating existing showrooms. Our products are sold through our tech-enabled experiential showrooms that allow the customer to touch, feel and see the product before purchasing. 
 Beginning 2 years ago, we began to pivot from a traditional retail store model to a showroom model. This new prototype showroom has the Sactional platform at the front entrance, combined with large digital screens, demonstrating the thousands of shapes that the Sactional can be transformed in with just 2 different pieces, creating a very visual experience for customers to come, to see the uniqueness of our product.
 Our showrooms also showcases Sacs and others accessory products. The new prototype is relatively small, averaging between 700 and 1,000 square feet, with low preopening expense and inventory requirements, which ultimately drive the productivity of our showrooms, inclusive of marketing expenses, to an average of approximately $1,300 in sales per square foot. Given the success we've seen in this new prototype showroom, going forward, we plan to remodel all of our legacy stores into the prototype showrooms I just discussed. Currently, just under 50% of our total showroom fleet is in the legacy format, and for fiscal 2019, we plan to remodel up to a total of 10 additional showrooms.
 The third component of our growth strategy is opening new showrooms. We currently operate 72 showrooms in top-tier malls, lifestyle centers and street locations in 30 states in the United States. We see significant whitespace opportunity for our showrooms, and we will continue to expand our showroom presence with 15 openings planned for fiscal 2019, ending with 78 showrooms by the end of the year. Given the strong unit economics, we plan to continue to open more showrooms, which will also help us to increase our brand awareness and improve efficiency of our marketing. 
 Fourth, extending the brand reach with shop-in-shops.  Our shop-in-shops  have proven very successful by showcasing a limited offering of our products and ultimately creating brand awareness, given their broad demographic reach in markets where we don't necessarily have a showroom presence. At the end of fiscal 2018, we operated 185 total shop-in-shops  with a 10-day roadshow  through a partnership with Costco. In the second quarter of fiscal 2019 alone, we operated 133 shop-in-shops  with Costco, which combined to grow our brand business. Looking ahead, we believe there's additional opportunity to expand our operations for shop-in-shops  as we continue to focus on efficiently extending our brand reach.
 The last priority of our growth strategy is continued social media engagement. As Shawn mentioned, we have a very active and engaged social media following on both Facebook and Instagram. At the end of the second quarter, we had over 600,000 active followers on Facebook, representing a 50% year-over-year increase, and 233,000 active followers on Instagram were over 90% growth over a year ago. Our customers are passionate about the brand and are loyal. And growing social media following is a testament to how unique we are as a brand and the customer loyalty we have cultivated over the years. By posting pictures of our product on social media of customer service brand ambassadors, which can be one of the best ways to increase brand awareness. As part of our continued investment in marketing, we'll also continue to invest in the social media in Q3. An example of our efforts on Facebook in Q2 as follows: The 5 highest reached post on Facebook in the quarter generated nearly 1 million views. In addition, we have PR coverage in terms of positive product stories in POPSUGAR, Real Simple and Reviews.com, which have a combined 30 million-plus unique visitors per month. 
 In summary, we believe we have the key right strategy in place to drive further growth and realize long-term potential we see for our brand as we focus on growing sales in a profitable manner. 
 For a more detailed review of our second quarter results as well as a few items related to our outlook, I will now turn the call over to Donna Dellomo, our Chief Financial Officer. 
Donna Dellomo: Thank you, Jack. Good morning, everyone. I will begin my remarks with a review of our fiscal 2019 second quarter results and then provide some commentary around our thoughts for the remainder of fiscal 2019. 
 As Shawn said, we are very pleased with our Q2 results. Net sales increased 60.3% to $33.2 million from $20.7 million in the prior-year  quarter, driven by strong showroom, Internet and shop-in-shop  performance as a result of an increase in new customers, combined with an increase in the total number of units sold, reflecting a higher average order volume per customer and increases in marketing investments which drives brand awareness. 
 Comparable sales, which includes showroom and Internet sales, increased 41%. Comparable showroom sales increased 34.2%, which represents our seventh consecutive quarter of positive COGS showroom sales increases. Internet sales increased 71.3% versus an increase of 56.2% in the prior-year  period.
 We opened 5 new showrooms and closed 1 in the second quarter to end the quarter with 72 showrooms. During the second quarter, we remodeled 2 legacy stores into our new showroom format. As Jack mentioned, our new showrooms averaged 700 to 1,000 square feet with average sales per square foot of approximately $1,300 and opened with a relatively low new showroom investment of less than $350,000, which includes CapEx, floor model inventory and pre-opening expenses. New showrooms are opening with a payback period of less than 2 years. With 72 showrooms as of the end of the second quarter, we see a significant whitespace opportunity to grow our showroom footprint. 
 We view our channel sales, particularly across showrooms and our website as very symbiotic given the cross-shopping behavior of our customer, and in many cases, their utilization of all of our channels in their path to purchase. That said, looking at our results by channel, showroom sales increased 41.7% to $23 million. Internet sales increased 71.3% to $5.5 million, and our other channels, which includes our pop-up shop-in-shops  in Costco locations, more than tripled to $4.7 million. By product category, our premium foam beanbags called Sacs grew 51.2%. Our modular couches called Sactionals increased 64.8% and our other category, which includes decorative pillows, blankets and other accessories, grew 20.6% in the second quarter as compared to the prior-year quarter. 
 Gross profit dollars increased 54.7% to $17.8 million in the second quarter this year. As expected, gross margin decreased by 190 basis points to 53.7% from 55.6% reported in the same period last year. The decrease in gross margin was primarily due to channel mix shift toward our shop-in-shop  locations and growth in Sactional products, which carry a slightly lower margin than Sacs. Although shop-in-shops  carry a lower gross margin, they generate positive operating margin which has an overall positive impact to the business.
 For the second quarter, SG&A was $23.9 million compared to $13.5 million in the second quarter of last year. The planned increase in SG&A was driven largely by our continued investments in marketing, which benefits extended periods, as well as nonrecurring items related to our initial public offering, including stock-based compensation expense related to equity brands that were issued in connection with our June IPO, management fees to our private equity sponsors and onetime IPO-related costs. Also impacting the increase in SG&A are sales-related expenses such as credit card fees, commissions and showroom labor that increased the sales volume increases and rent related to the opening of our new showrooms. Specifically on marketing, we are significantly increasing our marketing investments, both on an absolute dollar basis as well as on a rate to sales basis given the very attractive financial results on the spend, as evidenced in the CLV to CAC cost economics that Shawn and Jack both went over. 
 The year-over-year increases in our marketing investments that you see in any given quarter can and will vary often substantially as we maintain flexibility when investing against this very compelling customer acquisition opportunity. 
 Depreciation and amortization more than doubled to $800,000, which is an increase of $400,000 over the prior year due to capital investments for new and remodeled showrooms and other infrastructure investments.
 Operating loss was $6.8 million compared to an operating loss of $2.3 million in the second quarter of last year, with most of this change related to IPO-related costs and increased marketing investments. 
 Our net interest expense was immaterial in both this year and the prior year with the year-over-year decrease driven by a lower average outstanding balance on our asset base loan this year as compared to the prior-year  period and the impact of interest earned on the net IPO proceeds.
 This year, we recognized the tax expense of approximately $150,000 in the second quarter of fiscal 2019. 
 Before we turn our attention to net income, net income per share and EBITDA, I would like to point out that my discussion of these metrics will focus on net income and net income per share adjusted for the IPO as well as adjusted EBITDA. Please refer to the terminology and reconciliation between each of our adjusted metrics in their most directly comparable GAAP measurements in our earnings release issued earlier today.
 Net loss adjusted for the IPO was $3.6 million in the second quarter of fiscal 2019 compared to $2.1 million in the second quarter of fiscal 2018. Net loss per share adjusted for the IPO was $0.27 in the second quarter of fiscal 2019 compared to a net loss per share of $0.16 in the second quarter of fiscal 2018. Adjusted EBITDA was a loss of $1.9 million versus a loss of $1.6 million in the second quarter of last year with the year-over-year change more than entirely driven by our increased marketing investments which pay back over extended periods.
 Turning to the balance sheet, we ended the second quarter of fiscal 2019 with $48.2 million in cash and cash equivalents and no debt. Ending inventory increased 56.7% year-over-year, driven by an increased investment in the weeks of supply of inventory on hand to support sales growth across all channels and to be agile enough to support the success of our marketing investments. 
 As you are aware, we completed our initial public offering during the second quarter in June of 2019. The IPO resulted in net proceeds of $59.2 million, of which we used $4.7 million immediately preceding our IPO to pay down the balance on our asset-based loan. The remainder which we will intend to use for additional IPO-related expenses, opening and remodeling showrooms, infrastructure investments, marketing investments, product development, working capital and other general corporate purposes.
 Now while we're not providing formal guidance for fiscal 2019, I would like to provide a few comments around our outlook for fiscal '19 for modeling purposes. From a showroom perspective, for the full fiscal year 2019, we plan to open 15 new showrooms this year and remodel approximately 10 showrooms to end the fiscal year with 78 showrooms as compared to 66 showrooms at the end of fiscal 2018. We intend to operate 494 pop-up shop-in-shops  this year with slightly more than 79% of the shop-in-shops  happening in the first 3 quarters of this fiscal year. 
 In terms of SG&A, as I discussed, we are ramping up our marketing investment this year given the attractive returns we've seen, including the encouraging CLV-to-CAC ratio of approximately 4.4x, which is based on our fiscal year ended 2018 CLV and CAC. We expect the largest year-over-year increases in SG&A to incur in the first 3 quarters of the year. And given the seasonality of our business, we expect the most significant SG&A leverage to be generated in Q4.
 As it relates to the proposed Chinese tariffs, we are both watching the developments closely and actively working on steps to help mitigate the potential impact, including vendor negotiations, sourcing, merchandising, logistics and pricing actions. Given the timing of this potential implementation, we expect there will be minimal financial impact on this fiscal year's results.
 Finally, as it relates to capital expenditures, we expect to incur approximately $12.5 million to $13.5 million of capital expenditures in fiscal 2019. The majority of our capital investments will be spent on opening 15 showrooms and remodeling approximately 10 showrooms. We intend to spend the remaining investment on technology in our showrooms, inventory management and logistics systems, our e-commerce platform enhancements and for headquarter's data and support systems. 
 For all other details related to our results, please refer to our earnings press release. With that, we would like -- now like to turn the call back to the operator who can open it up for questions. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Dave King with Roth Capital. 
David King: First, on the showroom opening. I guess now with the IPO under your belt, do you expect to accelerate the pace of those that are all -- were remodeled for that matter, particularly as you look out to 2019? And then Shawn, how should we be thinking about the overall number of showrooms and what's the potential as we think domestically sort of longer term? 
Shawn Nelson: Go ahead, Jack. 
Albert Krause: I'll start with that. So on the showroom remodels, we're really in a place where we are remodeling now currently at the rate of when leases expire. So we had some acceleration initially based on the results and we did -- we wanted to correct some of those showrooms that were not as brand appropriate as possible. At this point, remodels will be done based on lease expiration. 
  In terms of the opportunity to accelerate a new showroom growth going forward from approximately the current rate of 15 a year we have currently planned, we do see opportunities. We have a very -- the way we look at it is we have a universe of potential showroom sites of more than 100-plus that are out there that have not been opened and the rate of showroom openings, in many cases, is dictated by the ability to open those and make agreements with landlords. So there's a lot of flex there, but we will lean into those as much as we can and remain productive and consistent. 
  In terms of the overall -- the other questions, what do we see in terms of the total showroom count? I can tell you this. It's something we're not sure about right now because of, Dave, as we spoke about during the roadshow,  we have a very intense learning agenda. And one of the things we're really focused right now on is understanding the most effective way to go into trade areas. And obviously, the denser the population in the trade area, the more likely it is to be able to support a showroom. But at the same time, we're having significant learnings in terms of how to operate and grow the business in the absence of showrooms. So I think there's a lot of learning, and I think in the next 6 to 12 months, we'll be able to share with you a more defined runway as we go into the future. 
David King: Okay. No, fair enough. Switching gears a bit, I saw you started running a national TV spot recently. I guess, between that and the Labor Day campaign, what sort of returns are you getting on those efforts, how's the traffic been to the site and the conversion? Just any color there I think would be helpful. 
Albert Krause: Yes. Obviously, those -- the national campaign is in the third quarter, so I don't want to give you a lot of details  about that, and in fact, the campaign results are still coming in and not completed. I would tell you that, at this point, we're very pleased with what we're seeing. We're learning a lot and it gives us a consistent -- consistent with what we said earlier. We're fulfilling some of those objectives of our learning agenda and I believe we will continue to lean more in the marketing and the forward -- and the quarters going forward. 
David King: Okay. And then, I guess, one last one for me. Donna, do you have what the marketing costs were in the quarter, either in dollar terms or as a percentage of sales? 
Donna Dellomo: Yes. We have -- I want to say for the quarter, we spent about $1.6 million I think the number was -- or $1.7 million more than we did prior year, so we -- I think, Jack, you have the number there. It's what, 3.6  or 3  for  the quarter? 
Albert Krause: Yes. We -- yes, for the quarter, in terms of working media, basically our overall spend in marketing rose over 80% in the quarter over last year are media spend. So that was our marketing spend overall. Our media spend jumped over 300% to account for about 60% of our dollar spent. Our digital and social marketing increased approximately 200% to roughly 30% of our dollars. 
Operator: Our next question comes from the line of Alex Fuhrman with Craig-Hallum. 
Alex Fuhrman: Wanted to ask about the increased marketing spending. It seems like that has certainly been driving a lot of your accelerating revenue growth here in the first half of the year. Specifically, I'm most interested in your customer acquisition costs. It seems like the marketing spending is up almost double here, you mentioned in the second quarter. Do you feel you're still getting that customer acquisition cost in the $300 ballpark and you're still getting that 4.5:1 lifetime value to acquisition cost-revenue  -- ratio. And do you think, as you continue to scale up your marketing spending and expand into more channels with print and digital and TV, that you're going to be able to hold those types of numbers? 
Albert Krause: Yes, a couple of things. One is I want to be very careful that when we look at -- we certainly internally will look at CAC and CLV on a constant basis. But due to the fact that there's so much variation and there's usually a 10-week to -- up to a 36-week return on marketing, it is really, I believe, not a good indicator and not a good discussion point in terms of looking at CAC and CLV on a quarterly basis. Now with that said, there are obviously some things that we are doing to make sure we're in a good place. We're looking at ROIs. We're continuing to see increased ROIs on our programs, and we're also seeing a dramatic increase in Sactional new customers, and they are buying at an initial purchase price that's growing at a rate of 20% over the previous year. So what I would expect to see is growth in CAC and CLV and a consistent ratio going forward. But I can't share you the details of that until we get through the fiscal year. 
Alex Fuhrman: Sure, that makes sense. And then if I could ask also about some of your distribution plans for this year and next year, seems like you've had a big increase in your pop-up business at Costco, which looks like that's going to continue going forward. Can you give us a sense of just as we think about the 500-or-so Costco locations in the U.S., it sounds like you're going to do a number of pop-ups that are not too dissimilar from that? Are you typically revisiting some of these stores, maybe every quarter or twice a year? Is there an opportunity to turn some of these pop-ups into an annual event? And then just thinking about your opening in New York City as well, it sounds like that certainly a new initiative having an urban standalone store for you. Just wondering as we kind of size up the opportunity and the size of that investment, if you could give us a sense of how big you expect that store to be in terms of -- anything you could share with us in terms of the investment cost relative to that $350,000 in terms of pre-opening rent and CapEx and inventory it takes to get a typical showroom up and running? 
Albert Krause: Okay. So it sounds like a couple of questions to unpack there. In terms of opportunities going forward and in terms of market and showrooms, we certainly see growth opportunities both in malls and off-malls and also different models to penetrate trade areas. I think the key thing to think about related to our discussion we were just thinking about is looking at a go-to-market strategy being really focused on going into a market and achieving the best ratio of CLV to CAC. And in some areas, that will be what we've historically been doing. Other areas that we'll be trying to grow are shop-in-shops,  which are more efficient, and in other areas maybe even doing other things in terms of testing asset-light executions, which we'll be doing. We certainly see opportunity for continued growth. I can't give you a number right now with Costco, but they're certainly happy as well with what we've seen, and we are continuing to talk about them in terms of potential expansion as we go forward of those programs. Does that answer all your questions? Sorry, I want to be sure I got them. 
Alex Fuhrman: That sure does. Absolutely. 
Operator: Our next question comes from the line of Scott McConnell with D. A. Davidson. 
Scott McConnell: So my question is how should we think about your long-term product strategy? And it seems also the approach of looking at furniture such as Sactionals as binary with bases inside, could this be applied to more products in the future beyond just Sactionals today? 
Shawn Nelson: Yes. The answer is yes. The long-term product strategy -- let me first comment -- this is Shawn, by the way. Let me first comment on our more near-term product strategy. Sactionals, we view as a product that can absolutely be in every home in the United States, and we have a tiny sliver of the market currently. Because to be in every home, by the way, we don't have to be in every room, right? There's a -- we believe, a place in every home for this washable, changeable, modular, be-anything-you-needed-to-be  couch. And so we are very focused on making that happen through our marketing efforts of all types. And we are also simultaneously focused on expanding that very valuable and patent-protected platform in ways to deliver more appeal to new customers who are considering the product, maybe you haven't heard of it yet or who are hearing about it now, as well as new ways for existing customers to expand on their Sactionals' collection specifically. And we will also, by the way, do the same for Sacs. But of course, Sactionals are such a huge dollar take for us that we've been very focused on Sactionals platform growth. And so we have, I would estimate, years of further development just on the Sactionals platform in myriad ways, both in breadth and in depth, and we're very excited about what that brings to us. 
  At the same time, we have a very active and adept product development team focused on invention of all kinds and leveraging what we've learned from our experience with Sactionals in particular. And we have intellectual property, patents already issued as well as patents pending on things unrelated to couches at all, and we're very excited about the potential that, that brings to our business. However, we continue to be focused on the near and midterm on expanding the platforms that we have yet to tell the world about as we -- as evidenced by our very small awareness levels. And so that's how we view the long term. We absolutely believe that we -- our Designed for Life philosophy, building products that are built to last a lifetime and designed to evolve, is totally unique in the landscape. I would challenge you to tell me another -- to describe another product that meets those 2 criteria, and that is the lens by which we will approach product development going forward. 
Albert Krause: Yes, and just to build that on, Shawn. You may recall during the roadshow,  we've talked about it incredibly, given a company with 2 product platforms and generating 40% of our customer orders that are repeat orders. That puts into perspective the opportunity that these platforms, as we start to innovate off of them and give our customers additional reasons to build their platform out, just a huge opportunity for future revenue. 
Scott McConnell: Great. And then second question, how should we think about your long-term financial model? I mean, what is your target for long-term,  just EBITDA margin, and what would your gross margin and operating expense would look like to reach this target? 
Donna Dellomo: This is Donna, obviously. Well, we are -- we will continue to accelerate revenue. We'll continue -- our plan is to continue to maintain margins at the level of what we had shown on an annual basis of last year. We'll continue to leverage certain overhead expenses, continue to invest in marketing and continue to grow EBITDA. Without giving you specifics, I'm hoping that kind of -- each one of our lines, we do continue to see acceleration and all while continuing to invest heavily in marketing. 
Shawn Nelson: Yes, I would just add that there are numerous growth models out there now in the landscape for new up-and-coming disruptive companies, et cetera. And we're very -- we believe that we are very confident in our ability to continue to deliver high growth rates while continuing to grow EBITDA. And so that, we believe, is our unique value prop for investors and we maintain our commitment to doing that. 
Operator: We have reached the end of our question-and-answer session. I would like to turn the call back over to management for any closing remarks. 
Shawn Nelson: Thanks so much for joining us. Again, we're happy to have you on our Lovesac family. And we look forward to speaking with you when we report third-quarter  results. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.